Operator: Good afternoon, and thank you for standing by. Welcome to Forrester's Fourth Quarter and Full Year 2023 Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to turn the conference over to Vice President of Corporate Development and Investor Relations, Ed Bryce Morris. Please go ahead.
Ed Bryce Morris: Thank you, and hello, everybody. Thanks for joining today's call. Earlier this afternoon, we issued our press release for the fourth quarter and full year 2023. If you need a copy, you can find one on our website in the Investors section. Here with us today to discuss our results are George Colony, Forrester's Chief Executive Officer and Chairman; Nate Swan, Chief Sales Officer; and Chris Finn, Chief Financial Officer. Carrie Johnson, our Chief Product Officer, is also with us for the Q&A section of the call. Before we begin, I'd like to remind you that this call will contain forward-looking statements within the meanings of the Private Securities Litigation Reform Act of 1995. Words such as expects, believes, anticipates, intends, plans, estimates or similar expressions are intended to identify these forward-looking statements. These statements are based on the company's current plans and expectations and involve risks, uncertainties that could cause future activities and results of operations to be materially different from those set forth in the forward-looking statements. Factors that could cause actual results to differ are discussed in our reports and filings with the Securities and Exchange Commission, and the company undertakes no obligation to publicly update any forward-looking statements, whether as a result of new information, future events or otherwise. Lastly, consistent with our previous calls, today, we will be discussing our performance on an unadjusted basis, which excludes items affecting comparability. While reporting on an unadjusted basis is not in accordance with GAAP, we believe that reporting numbers on this adjusted basis provides meaningful comparison and an appropriate basis for our discussion. You will find a detailed list of items excluded from these adjusted results in our press release. And with that, I'll hand it over to George.
George Colony: Thank you for joining Forrester's Q4 and full year earnings call. Joining me today are Forrester's Chief Sales Officer, Nate Swan; and our Chief Financial Officer, Chris Finn. Following my remarks, Nate and Chris will provide sales and financial updates. 2023 was the penultimate year of our Forrester decisions transition. This change, coupled with the uncertain macroeconomic environment and technology market unevenness contributed to a challenging year for the company, but one that we navigated and managed. In my remarks, I'd like to cover four key themes: number one, the progress we made in 2023; two, our Q4 and 2023 fiscal year financial performance; three, product and technology enhancements; and finally number four, 2024 guidance and the road ahead. We entered 2024 having achieved a major milestone in our product transition. As I've stated in previous calls, our North Star for 2023 was migrating two-thirds of our contract value or CV into the Forrester Decisions platform. I'm happy to report that as of January 1, 2024, we have hit that goal. While our short-term performance has certainly been impacted by this journey, we are progressing on our long-term goal of consistent contract value growth based on the Forrester Decisions platform. With the exception of a small number of accounts, we will complete the final transitionary phase of this change in 2024. In 2023, we made two other strategic moves that are difficult in the short term, but will serve us well in future years. The first was sharpening the target audience for Forrester decisions. The product was built to primarily serve C-level executives and their teams in large user organizations and our sales force is successfully pivoting to these targets. Selling higher and focusing on user companies with more than $1 billion of revenue allows us to land and expand across functions, ultimately making our business more resilient and scalable. The second move was the refocusing of consulting events to help drive contract value. These non-CV businesses are becoming a smaller fraction of our overall revenue mix. In 2023, 70% of total revenue was in Research Services, and we expect this share to increase in future years. Our contract value portfolio is more predictable, scalable and profitable. So over time, the changing mix will improve the overall quality of our business. Turning now to our fourth quarter and full year performance. CV declined 4% in 2023. While we are not pleased with our CV growth, we did exceed consensus estimates on revenue for both Q4 and the full year, and we hit the full year consensus for operating margin and EPS. In another bright spot, Q4 demonstrated the ongoing stabilization of our non-CV businesses, led by content marketing. Our Events business saw an annual growth in attendance with a record number of C-level executives attending our Q4 events. In research, we saw Forrester decisions wall of retention dipped slightly in Q4, down to 87%. The Expanding wallet retention is one of our top priorities in 2024. Nate and Chris will provide more detail on the plans to increase renewals enrichment in the year. We continue to enhance and improve our research power platform Forrester Decisions. To reiterate my remarks in previous calls, the product is successfully delivering on its value proposition of enabling business and technology executives to align, plan and execute their most pressing initiatives to accelerate growth. And as an example, I was in Amsterdam in December visiting with the Chief Marketing Officer of a major European B2B health care company, and he recounted how he has used our research to build the demand marketing engine of this company. He and team have used our demand marketing waterfall model to increase generated leads, convert leads to sales opportunities and ultimately convert opportunities into closed one business. In addition, he has used our B2B marketing models and frameworks to structure the company's marketing group and align it more closely with the sales and product organizations. We remain on our client side and by their side. In 2023 alone, we conducted approximately 15,000 guidance sessions with clients. These sessions are now more precisely focused as we debuted what we call client initiatives and outcomes in 2023. When a Forrester Decisions client onboards, we document their critical priorities and what business objectives they are seeking to achieve from those priorities. These initiatives and outcomes become the fulcrum of the Forrester relationship, laser focusing our customer success managers, analysts and consultants on what our clients are trying to get done. Over 85% of our Forrester decisions clients now work with us this way our goal is to reach 95% by year-end. Improvements to our research platform are driven by our Voice of the Client program, a systematic means of testing proposed product changes with our customers. In 2023, this effort yielded 6,500 client inputs, originating from survey data, user testing studies and qualitative interviews. Two prominent new product features that derive from the system were our weekly client-only Forrester takes and the rollout of a new research theme focused on high-performance IT. This idea helps technology leaders better match their information technology with their business goals. Now unsurprisingly, Gen AI was a major focus of our research in 2023 as we publish more than any reports on the topic. Our analysts continue to look past the hype and noise in the market, providing clients with practical Gen AI guidance. In 2024, we will launch new Forrester Waves focused in the generative AI market. As I stated on the Q3 conference call, Forrester's client-facing generative AI tool, Izola, represents the most significant step forward in delivering content to our clients since we launched our website 30 years ago. We expanded the scope of our client beta in Q4 and plan a general release in Q1 for all Forrester Decisions clients. Clients described by Izola as useful and fast and appreciate the tool's direct link to relevant research. While Izola is focused on our clients, we are developing five other Gen AI tools that are built to improve internal efficiency. I'd now like to turn to our 2024 guidance. Given the bookings challenges we encountered in 2023, we anticipate declining revenue in the upcoming year. We will continue to be diligent in controlling costs to maintain margins, laying a foundation for sustainable growth in 2025. Accordingly, the company reduced its workforce today by 3% and moves that we do not take lightly, but which is necessary to keep expenses aligned with revenue. Chris will provide more details on 2024 guidance in his remarks. So to summarize, I believe that 2024 will be remembered as an inflection point for Forrester as we complete our product migration and our go-to-market strategy overhaul. Technology has never been more challenging for large companies to manage and a new tech era is dawning driven by generative artificial intelligence. Forrester was built for just these types of moments. When new technology arrives, our clients look to us to help them understand the future, make complex decisions, operate efficiently and win and serve their customers in new ways. I will now turn the call over to Nate Swan, our Chief Sales Officer. Nate?
Nate Swan: Thank you, George, and good afternoon, everyone. I'd like to spend a few minutes outlining the progress made in the last 12 months since I joined Forrester and share what's ahead. We put in the foundation to build a high-performance sales culture and are rallying around NCVI, Net Contract Value Increase, as a continuous motion to improve retention and growth. I'd like to expand on four areas: one, building a strong sales leadership team; two, selling to C-level decision-makers in our ideal customer profile; three, standardizing the Forrester engagement model to drive renewals; and four, widening our reach within client and prospect organizations to drive growth. Going deeper on my first point of sales leadership. Throughout last year, I revamped key functions within the sales organization to improve structure, efficiency, execution and accountability. These changes include the addition of a new VP of Sales Operations and Enablement, new VP of Customer Success, new VP of New Business, and lastly, a new SVP of North American Account Management. With the exception of international leadership, every one of my direct reports is new from 2023. They all bring proven experience, building high-performance sales and service organizations, and I'm excited by the strong caliber and energy of this leadership team. Secondly, we are focused on selling higher into the C-suite at client and prospect organizations. This is where a customer-obsessed decisions are made. This is where Forrester's research has the biggest impact on clients. We help business and technology leaders align and grow their businesses, and we've made good progress this year with coaching, training and enablement support of our salespeople calling on more senior executives. Approximately 70% of Forrester Decision seat holders are at the director level and above, which is significantly higher than our heritage product. Thirdly, we are maturing and standardizing our approach to retention across all products and delivering world-class customer experience. The ongoing client engagement with sales, customer success and research teams includes mutually valuable cadence of meetings with clients. These help both parties stay aligned and ensure Forrester is focused on delivering high-value outcomes that support clients' most critical business initiatives. Finally, sales is focused on growth and client enrichment. In 2024, we will continue to realize the land-and-expand promise of Forrester decisions by expanding relationships deeper within teams and cross-selling to multiple functions. Our research, tools and frameworks are built to not only help executives align with their function, but across all strategic functions. We had some great wins in Q4 that demonstrate we're on the right track with our strategy of winning the leader and their teams. An IT department with a large local city government in the U.S. doubled the size of their FD renewal which is now valued at over $1.2 million of contract value. A CX function at a large U.S. insurer renewed its long-time relationship with Forrester into a $1.2 million contract with lots of growth. A global consultancy renewed its relationship with Forrester across multiple geographies, growing the Forrester decisions contract to $1.4 million, an increase of 40%. And on the new business side of the house, we have secured several new Forrester decisions relationships over $300,000 each. We've seen momentum in particular with CIOs and CISOs who need Forrester's help in navigating the Gen AI landscape as well as supporting high-performance IT strategies that align with their tech and business strategies for growth. In summary, the last year has been foundational in building high-performance sales at Forrester. I'm immensely proud of the strides that we have made in the sales organization, and I look forward to executing in 2024. Thank you very much. And with that, I'll hand the call over to Chris.
Chris Finn: Thanks, Nate, and good afternoon, everyone. As George outlined, our fourth quarter results were challenging. However, I am happy with the progress the company made on a number of fronts, including the evolution of the sales organization that Nate outlined, the continual improvements that we made to the Forrester Decision platform and the launch of our AI tool, Izola along with the achievement of our migration goal of 66% of CV in Forrester decisions as of January 1. In addition, our financial results were in line with the midpoint of our guidance and consensus estimates. At the same time, we continue to see some of our key metrics negatively impacted by the ongoing migration and the uncertain underlying business environment. On the topic of metrics, we want to highlight a small modification to the calculation methodology of our CV metric. This change is driven by a desire to better align contract value with trends in the business. As we complete the migration of Forrester decisions, the larger makeup of multiyear contract is driving the change in methodology. In our historical calculations, while the routable portion of our subscription products have been annualized, the entitlements included in the subscriptions representing approximately 10% of the subscription have been included in CV at the total value as all entitlements in the contract are available for use during an annual period. The revised calculation annualizes the entitlement for contracts greater than one year. This change will create a more precise view of the trends impacting CV bookings and revenue. In addition, although we typically update our CV metrics in the first quarter of the year for the current year's planned FX rates, we made that update this quarter in order to avoid a second change to the metric next quarter. Please note, we have recast prior quarters to reflect this revised metric and further information on the change can be seen in the investor deck on our Investor Relations website. For the quarter, overall revenue was $118.1 million, representing a 14% decline from Q4 '22 revenues of $136.9 million. Overall revenue for the year came in at $480.7 million representing an 11% decline from the $537.8 million we generated in 2022. The revenue declines for both the fourth quarter and full year were primarily driven by declines in our consulting business and declines in our research business largely from our legacy research and reprint products. In terms of segment results for the quarter, for the Research segment, CV came in at $332.1 million at December 31, 2023, and this is a 4% decline from December 2022. The decrease in CV was largely due to a combination of lower enrichment of retained accounts along with additional churn in our vendor base. We continue to analyze why certain buyers are new and enrich at lower-than-expected rates, and this is tied to a combination of the ongoing migration, the current buyer profile and the ongoing tech recession. As Nate mentioned in his remarks, the sales organization is very focused on expanding our reach within client organizations, and I'm confident in the team and processes that he has put in place. However, we expect both CV and wallet retention to be under pressure in 2024 as we work through the final year of the product transition in what is still a difficult economic and technology environment. We expect CV trends to turn flat to positive as we exit 2024. And although overall client count is down from the prior quarter, Forrester Decisions client count continues to grow and Forrester Decisions client retention remains well above overall client retention by approximately 10 points. We also achieved our migration goal as we had $215 million or 66% of CV contracts on the Forrester Decisions platform as of January 1, 2024. From a revenue standpoint, research revenues decreased 8% in the fourth quarter and 6% for the full year. For the full year, revenue from our subscription research products was down approximately 1%, as growth in Forrester decisions was offset by declines in our legacy research products. In addition, we experienced declines in reprints and our other smaller and discontinued products. Our consulting business posted revenues of $28.3 million for the fourth quarter and $118.2 million for the full year, representing declines of 25% and 23%, respectively, versus the prior year periods. These declines were driven by similar factors we have seen all year. One, the external environment in which discretionary spending on consulting projects is meaningfully curtailed and two, our internal decision except in limited circumstances, to only sell consulting to customers who have a CV relationship with Forrester. And finally, our events business posted revenues of $4.6 million, representing a decline of 36% compared to the fourth quarter of 2022. This decrease was driven by a shift in event timing. In Q4 of this year, Forrester hosted four events compared to five events in the prior year quarter. For the full year, the segment declined by 8% to $28.2 million, driven by lower sponsorship revenue. Continuing down our P&L on an adjusted basis, Operating expenses for the fourth quarter decreased by 10%, primarily driven by the restructuring plan we announced during our Q1 call. Specifically on headcount for the fourth quarter, we were down 14% compared to the same period in 2022. On a full year basis, operating expenses decreased by 8%, also largely driven by labor reductions with additional savings from other categories, including facilities and professional services fees. Operating income decreased by 47% to $6.8 million or 5.8% of revenue in the current quarter, compared to $12.9 million or 9.4% of revenue in the fourth quarter of 2022. On a full year basis, operating income decreased by 25% to $52.3 million or 10.9% of revenue compared with $69.7 million or 13% of revenue in 2022. We continue to be committed to aligning our cost structure with our revenue outlook. Interest expense for the quarter was $0.8 million as compared to $0.7 million in the fourth quarter of 2022. On a full year basis, interest expense was $3.1 million compared to $2.5 million in 2022. This increase was driven by higher interest rates compared to a year ago. Finally, net income and earnings per share decreased 44% compared to Q4 of last year, with net income at $4.8 million and earnings per share at $0.25 for the current quarter compared with net income of $8.5 million and earnings per share of $0.45 in the fourth quarter of 2022. On a full year basis, net income decreased 22% to $36.6 million and EPS decreased 23% to $1.90. Looking at our capital structure. Year-to-date cash flow from operating activities was $21.7 million and capital expenditure was $5.5 million and we had $124.5 million of cash and investments as we exited the fourth quarter. There were no debt payments or stock buyback this quarter leaving us with $35 million of outstanding debt and approximately $71 million of our stock repurchase authorization intact. As we've outlined today, we have taken actions to better align our cost structure with the ongoing declines in our revenue forecast. I'll now provide some additional details regarding the restructuring. We have reduced our workforce by approximately 3%. And we expect to incur approximately $7.3 million to $7.7 million of cost for these actions, including $700,000 that was recognized during the fourth quarter. Approximately $3.8 million of the charge is noncash and we plan to use a portion of the cost savings to fund focused investments across sales and customer success. Turning to guidance, starting with the top line. For 2024, we expect revenue to be $430 million to $450 million or down 6% to 11% versus 2023. This guidance assumes the outlook for the Research business to be a mid- to high single-digit decline a decline in our consulting business in the low to mid-teens and a decline in our events business in the mid-single digits for the year. Given the actions we have taken to control costs, and our ongoing focus on costs, we would expect our operating margins to be in the range of 9.5% to 10.5% for 2024. A portion of the cost savings this year are coming from non-headcount-related reductions. For example, a pause on non-sales related variable compensation components. Interest expense is expected to be $3 million for the year, and we are guiding to a full year tax rate of 29%. Taking all this into account, we would expect EPS to be in the range of $1.50 to $1.70 for the full year. In summary, we continue to believe that 2024 will be another challenging year as it marks the final transition in the Forrester Decisions migration and our go-to-market refinement. As Nate outlined, we are laser-focused on Forrester decisions' retention with improvements in the engagement model, the retention life cycle and target investments in customer success and sales. We believe these actions will pay dividends as we progress through 2024 and into 2025. Thank you all for taking the time today. And with that, I will hand the call back to George.
George Colony: Thank you, Chris. To summarize, 2023 was a challenging year with internal and external factors impacting our financial performance. However, we believe in the Forrester Decisions product, our evolution into a high-performance sales organization, the impact of generative AI and the research market opportunity driven by massive technology disruption. We believe 2024 will be remembered as an inflection point for Forrester. The foundational work of the year will enable us to capture a growing share of our substantial total addressable market in 2025 and beyond. I'm going to hand the call back to the operator, and we will now take questions.
Operator: [Operator Instructions] And I show our first question comes from the line of Anja Soderstrom from Sidoti. Please go ahead.
Anja Soderstrom: Hi, and thank you for taking my questions. I'm just curious -- how much of this sort of decline for this year, the softness for 2024 do you attribute to just internal initiatives in terms of switching to serious decision and new clients and how much is due to the general macro environment and maybe sales cycles being longer?
Chris Finn: Yes. Thanks, Anja. This is Chris. So this is the last phase in last year of the FTE transformation for us. We've been on this journey since really August '21, when we launched the product. And so during this time, obviously, we've made some decisions along the way that we feel would benefit us in the long term. And we knew it would hurt, frankly, in the short term. And so combine that with the fact that we've had a serious tech recession here over the past couple of years with a lot of layoffs, large tech companies, both vendors and users. And so I think it's hard to really peg the percentages. I would think that, look, a lot of this has been kind of an external environmentally driven, frankly. And -- but I'd say a smaller percentage of it really is things that we've made decisions on ourselves and that, frankly, have elongated the transformation that we're going through. With that said, I am very confident that this is the final year. We do know that based on where we are today at 66% of CV and FD, we're confident that we're going to get to approximately 80% by the end of the year -- really be done with this transformation at this point. And the remaining part of CV is really going to be in our nonsubscription areas around reprint. So we feel confident about the direction that we're going in, and we do feel confident that we're going to see probably a little bit more of a decline as we go through the beginning of this year, but we're going to edge at '24 with CV starting to turn around and get some growth here.
George Colony: Anja, I think -- this is George here. I think the biggest surprise -- one of the biggest surprises has been the weakness in tech over the last two years. And that -- it's impacted us with small vendors. It's also impacted us with large vendors. I think it's been very interest rate driven actually. Venture has dried up, and many of these smaller vendors are -- they've just cut budgets and cut people. And so that is definitely -- it is one of the major factors here.
Chris Finn: Yes, and I'd even say on the small vendor side. Yes, Anja, the small vendor side as well. I mean, a lot of those companies have literally just gone away. And I'd say on the larger vendor side, it's not so much churn as it is as they've made the migration over to FD and they've had budget constraints as well. They've reduced some of their overall spend with us, but they have not churned out unlike some of the small vendors.
George Colony: Yes. One of the disciplines we've developed through this period is -- we're being very, very selective as who we will take from that small vendor group. So generally, we are turning away from vendors under $50 million in size.
Anja Soderstrom: But that's something you've been doing over the year, right? It's been more strategic and move from the company that you intended to do anyway, right? It's not just a macroeconomic environment that's sort of weeding those out?
George Colony: Yes.
Anja Soderstrom: And in terms of generative AI, it seems like that's on fire now and how much of that is going to be driving your growth, do you think, and pick up your sort of research resources?
George Colony: Yes. There are approximately almost 100 analysts now who are spending a great deal of time in Generative AI for us. I talked about 80 reports. I'll take -- I'll estimate this, but I bet I'll get pretty close that it's going to be in the area of 15% to 20% of our research focused in Generative AI in 2024. And it is -- it's on the minds of all of our clients, whether they're vendors, users, all -- Boards of Directors. And the higher you go in the organizations, the more greater magnitude of questions here on you. So this is what -- as I said in my remarks, this is what Forrester was built to do. when there's big technology change, clients are need decision-making. They need context, they need vision to the future. And so this is a great opportunity for us.
Anja Soderstrom: Okay. And in terms of the competitive landscape, is there anything to call out there that's been changing?
George Colony: I'm looking at Nate here, but.
Nate Swan: From a competitive landscape, no, I mean, I think we've got -- we feel very confident in our research and our value proposition. Our clients are really reacting well to high-performance IT. We think our view of customer obsession and how it plays across all different functions. -- really makes us different. So there are great providers that are out there. We have a unique perspective and our clients seem to like our perspective. And so we feel very confident in that. So I don't think competition is any more or less than it ever has been.
Chris Finn: Yes. I think the biggest change here, Anja, is that below us, there are some smaller companies who are kind of turning away from research towards generating leads for vendors. So that's -- we like that because they're essentially taking a step outside of the research business and further away from us. We like that.
Anja Soderstrom: Okay. And in terms of global, is there anything to call out any region that did better or worse?
George Colony: Yes. We did really well on -- from an international standpoint, one of our best performing groups. We did well in the government sector. We've been growing pretty well in that marketplace. And saw some really good green shoots in Q4 for the user new business team. We've got a new leader in that group and had some great focus there. And that team really delivered in Q4 and is off to a pretty good start actually in Q1 as well. So lots of consistency. All teams are working really hard. We've just got some tougher markets in the high-tech side of the house. And North America is a big focus for us. We -- Patrick is going to be a great leader for us, really bringing structure and discipline to the organization, and I expect the North American team will really react well to that.
Anja Soderstrom: Okay. And just one last one, if I may. In terms of the headcount, the 3%, you expect -- you've been cutting headcounts now for a couple of quarters. Is there more room to cut? And where are you cutting? And how can you do that without jeopardizing the quality of your work?
Chris Finn: Yes. That's a good question. Yes, we feel like at this point, we're through the labor reductions, the RIF disproportionately impacted our consulting organization which really was necessary to bring the resources in line with where the expectations are on the consulting business for '24. We know there were some challenges there last year, and we do expect some of those to continue into this year. And so as a percentage of headcount, most of the other business units were really well below the 3% average for the company as we really intend to preserve resources to get back to growth later on this year.
Anja Soderstrom: Okay, thank you. That was all for me. Appreciate your time.
Chris Finn: Thanks, Anja
Operator: Thank you. And actually, our next question comes from the line of Vincent Colicchio from Barrington Research. Please go ahead.
Vincent Colicchio: Yes. A question for Nate. So the 70% of seat holders at director level and above sounds like -- sorry?
George Colony: Yes. Go ahead. Sorry, Vince.
Vincent Colicchio: It sounds like a pretty good data point. Did I hear -- I'm not sure if I heard, is that in line with your objective? Did you mention that?
George Colony: It is in line with where we are going. So we are -- we look at really three roles as our target roles to enter into a company. We want to be at the head of function, generally at a CMO, CPO, Chief Digital Officer, CSO type role. We look at the VPs and we look at the directors. We certainly have opportunities with managers and below. Generally, that is going to be our team seat function that we can grow in. So what we're looking to do as a strategy, Vince, is we want to win the leader and then we want to capture the teams underneath them. Organizations work in a team-based function to accomplish their goals. I think the great thing about Forrester decisions and how we are aligned as a company is the alignment we create across the organization. So if we happen to be in with the IT organization, the next step might be to get over to the CX organization or the marketing organization. We can work with all those organizations at once. You don't tend to capture the teams or those deals all at one time, you grow into those. But the way you capture opportunity, grow the opportunities by being at the most senior level functions and by understanding what their initiatives are and delivering against those initiatives. And when you do that, clients feel very comfortable expanding and growing the relationship. So we've seen some good success in doing that. The sales organization is very excited about doing that. We've got a new sales methodology that we are in process of rolling out for the organization, and we're excited about what that's going to do for us, which is really understand and align on how our clients are trying to work.
Vincent Colicchio: So when you began this journey, if you were to know that you'd be at this level of seat holders at the direct level or above at this point in time, I assume you'd be content with that.
George Colony: Well, I don't -- content might be a good word, I guess. We always want to get higher, right? If you sell to the senior most function, you can sell our highest level offering, which will deliver the most value to the organization. So I think all of our salespeople want to try to get to the top level of the organization. It's where impact happens. It's where the revenue happens and it's where they can be most successful and it's where they can help their clients the most. Working on those really top initiatives that they're going on. So we are paying attention to it. We are capturing data as to where people are going, and we can see that we are improving at calling on more senior levels. So we'll continue to do that. We also know that when we call on more senior levels, we are able to sell multiyear contracts because initiatives go over multiple years. So it's really it aligns really well with Forrester decisions, which we've been trying to sell more multiyear. We want to really try and drive that number up as much as we can.
Chris Finn: Vince, I think the important point here is that the -- we are selling at a higher level with Forrester decisions than we did with legacy. That's good, but we need to get at even higher levels. I'd say we're feeling good, but we're not content. That's the wrong word to use there. Yes.
Vincent Colicchio: Yes. I think maybe I'm -- sounded a bit more exciting to me than maybe I shouldn't be too excited. I mean, good progress, but a ways to go.
George Colony: Yes. Yes, exactly.
Vincent Colicchio: On the small client side, are we nearing a point where there may be some stabilization in the client losses? And also how many -- what portion of small clients make up your total currently?
Chris Finn: Yes, Vince, this is Chris. Yes, we feel like -- I mean, certainly, this year, we're going to be through most of that churn in the base from a CV perspective our expectation in general is that we're going to get CV from a legacy perspective, down below 10% at that point. And so that's a small portion we think we're through the majority of that. We don't really give guidance on the number. But I think based on the CV metric that I just gave you of it being below 10%, and you get a sense of kind of what it is.
George Colony: And also, Vince, I think Forrester decisions has been a weeding -- had I said a weeding effect here because it's built for larger organizations. And it's -- it's a little bit more expensive. So that has also helped take smaller -- the smaller specialty vendors out of the mix.
Vincent Colicchio: And I think most organizations, including yourselves, are expecting a better IT spending year this year than last year and you're targeting larger enterprises. I just -- how do you square sort of your expectation that CV doesn't pick up until later in the year versus a better IT spending year? I suppose it's just the vagaries of executing on a new product. What am I missing?
Chris Finn: Yes. No, I think that's right, Vince. I think we're probably being a little bit conservative here just because of what we came out of Q4 with and going into Q1. We are seeing some bright spots, certainly. But I don't want to get too excited yet. We have to show that we can execute. But certainly, the continued momentum around the growth on FD is certainly really important, and we're seeing that. And I'd love to see some moves obviously on interest rates. I think that will help, too. But I think the tech recession is still very much here, but we're starting to see some green shoots around budgets opening up and having conversations. We're even having conversations with clients at -- on the big vendor side may have reduced spend during the migration over FD, they're actually coming back now and having discussions about larger contracts, which is a bright spot. So we're definitely seeing it start to open up a little bit. But our expectation is that being a little bit conservative in the first half and expect to get -- start to see some of that growth during the back half, especially as we exit the year.
Vincent Colicchio: Thanks, guys.
Chris Finn: Thanks, Vince. Appreciate it.
Operator: Thank you. I'm showing no further questions in the queue. At this time, I would like to turn the call back to Mr. Chris Finn, CFO, for closing remarks.
Chris Finn: Yes. Thanks, everyone, for joining the call today. We really appreciate it. If you have any questions or follow-up, please contact Ed or myself. Thank you.
George Colony: Thank you.
Operator: This concludes today's conference call. Thank you for attending. You may all disconnect.